Operator: Welcome to the Washington Real Estate Investment Trust second quarter 2008 earnings conference call. (Operator Instructions) Before turning over the call to the company’s President and Chief Executive Officer, Skip McKenzie, Kelly Shiplet, Director of Finance, will provide some introductory information.
Kelly Shiplet: After the market closed yesterday we issued our earnings press release. If there is anyone on the call who would like a copy of the release please contact me at 301-984-9400. Or you may access the document from our website at www.writ.com. Our second quarter supplemental financial information is also available on our website. Please bear in mind that certain statements during this call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although such statements and projections are based upon what we believe to believe reasonable assumptions, actual results may differ from those projected. Key factors that could cause actual results to differ materially include changes in the economy, the successful and timely completion of acquisitions, changes in interest rates, leasing activities and other risks associated with the commercial real estate business and as detailed in our filings from time to time with the Securities and Exchange Commission. Participating in today’s call with me will be Skip McKenzie, President and CEO, Sara Grootwassink, Executive Vice President and Chief Financial Officer, Laura Franklin, Executive Vice President and Chief Accounting and Administrative Officer, and Mike Paukstitus, Senior Vice President Real Estate. Now I’d like to turn this call over to Skip.
Skip McKenzie: 2008 has been an extraordinary year for real estate investors. Credit has been tight, equity valuations have been volatile and increased commodity prices have dampened economic activity on many levels. It is truly times like these we appreciate the region we invest in. Although not immune to the economic challenges facing our nation, Washington remains, as it historically has, one of the healthiest markets in the country. While our tenant are affected by these economic pressures and I anticipate regional vacancies and tenant delinquencies will rise, I believe these increases will be nominal and our region will significantly outperform the country in both occupancy and rental rate growth for the balance of the year. The unemployment rate in our region is 3.1%, the overall Office vacancy rate is 10% on a base of almost 400 million square feet and regional job growth, although slow, is actually up over a year ago. These metrics are strong evidence that the diversity of our economy and the stability of our federal government continues to underpin the regional economy and that our region will weather the storm well. As we move forward this year, our hands-on management focus will continue to be one of our strengths. We will stay close to our tenants and monitor occupancies closely. At quarter end our commercial portfolio was 94% leased and while we may lose occupancy over the balance of the year, particularly in the Retail and small bay industrial sectors, I believe this marginal increase in vacancy will be offset by our continued ability to increase rents upon roll-over in the core portfolio. On the investment side we are beginning to see opportunities for acquisition that we have not seen in years. The dislocation in the credit markets has reduced the number of potential buyers and has significantly increased the cost of capital for many of our competitors. We are optimistic that the discipline we have exercised, in conjunction with the capital market activity and balance sheet management that Sara will describe later, will position WRIT to take advantage of excellent opportunity for investment over the next 18 months. This past quarter we acquired a small value-add medical office building in Sterling, Virginia, and as Mike will describe briefly, our pending acquisition of 2445 M Street, which is also indicative of this opportunity. I would now like to turn the call over to Sara who will discuss our financial performance and our activity in the capital markets.
Sara Grootwassink: Funds from operations grew 1.8% to $0.56 per diluted share this quarter over the same period last year. Funds available for distribution were $0.38 per diluted share. Core cash net operating income increased 2.7% and core occupancy increased 30 basis points, to 94.8% compared to the same period one year ago. By sector our performances is broken down as follows: Multi-family properties core cash NOI for the second quarter increased 2.1% compared to the same period one year ago. Rental rate growth was 1.1%, while core occupancy increased 250 basis points to 93.3%, primarily due to increased occupancy at our Falls Church and Arlington, Virginia, properties. Retail properties core cash NOI for the second quarter increased 3.3% with rental rate growth at 3.5%, while core occupancy was flat at 95%. Office properties core cash and alliance for the second quarter increased 3.6% compared to the same period one year ago. Core occupancy decreased 30 basis points to 94.8%; however, core rental rates grew 2.3%. Medical Office properties core cash NOI for the second quarter increased 3.5%. Core occupancy increased 140 basis points to 97.6% and core rental rate growth for this sector was 2.2%. Industrial properties core cash NOI for the second quarter decreased 0.3% compared to the same period last year. Core rental rate growth was 3% while core occupancy decreased 150 basis points to 93.4%. Overall core occupancy has increased 30 basis points quarter-over-quarter to 94.8% although it has flipped 70 basis points sequentially. The decrease in occupancy that occurred in the Office and Industrial sectors, offset by an increase in the Residential sector, was expected and included in our guidance. In the Office sector, a 20,000 square foot tenant at 2000 M Street vacated at the beginning of the quarter, provided the opportunity to re-lease the space at a significantly higher rental rate. We projected eight months in downtime in our underwriting assumptions for this lease expiration and we are confident about our re-leasing prospects. As discussed in last quarter’s call, United Communications Group vacated 60,000 square feet of space at One Central Plaza. There has been a lot of interest in this space and we expect it will be leased in smaller segments over the next 6-12 months. Sequential results were also impacted by percentage rents we received in the first quarter of $329,000 versus no percentage rents this quarter, the disposition at $41million in property, and movement within our capital structure. We were quite active in capital markets this quarter, taking advantage of specific opportunities to further strengthen our balance sheet. In May WRIT raised $90.5 million through the issuance of 2.6 million common shares at a price of $34.80 per share. We decided to raise equity earlier in the year than we anticipated as our shares were trading well and we were confident we soon have 2445 M Street under contract, which occurred several weeks later. 2445 M Street is projected to close in the fourth quarter of 2008 due to the length of the loan construction process. Also in May WRIT entered into three mortgage loans with an aggregate principal of approximately $81 million. WRIT used the proceeds to repay borrowings under its lines of credit. The mortgage is fixed at a rate of 5.71% through maturity in May 2016. Consistent with our commitment to maintain a strong balance sheet the [inaudible] short-term debt with long-term capital and chose multi-family secure debt rather than corporate unsecured debt due to the significant differential in spreads for the two different instruments. This quarter WRIT increased its dividend 2.4% to $0.4325 per share for its 186th consecutive quarterly dividend to equal our increasing rates. We are leaving our full-year guidance of $2.11 to $2.21 in FFO per share unchanged. While we have already announced higher acquisition in volumes, it will occur later in the year. Interest expense will be lowered than projected due to the earlier than anticipated equity offering but it will be offset somewhat by the additional dilution. Bad debt expense is currently running in line with our budget year to date but we expect it will increase. And finally, our target occupancy for both the core properties and the two apartment properties that we just put into service were high hurdles and we expect residential leasing velocity to decelerate in the fourth quarter due to seasonality and reduced options available within the properties. Thus, our reforecast indicates we are still in line with previous guidance. With that, I will turn the call over to Mike to discuss operations.
Mike Paukstitus: Leasing activity was solid this quarter. WRIT signed commercial leases for 470,000 square feet with an average rental rate increase of 6.1% on a cash basis and 18% on a GAAP basis. Tenant improvement costs were $4.33 per square foot. Residential rental rates increased 1.1% in the second quarter compared to the same period one year ago. Rental rates for new and renewed leases in each sector ranged from an increase of 3.2% to 10.7% on a cash basis, with $0.26 to $18.26 per square foot in tenant improvement costs. In the Office sector we executed 28 leases for a total of 168,000 square feet at an average rental rate increase of 4.4% on a cash basis and 14.3% on a GAAP basis. The majority of these leases were executed for less than 10,000 square feet, which is consistent with our small-tenant-focused strategy. In the Medical Office sector we signed leases for a total of 48,000 square feet with an average rental increase of 10.4% on a cash basis and 28.2% on a GAAP basis. At Prosperity Medical Center we executed an early renewal for a 24,000 square foot tenant that is a 17.2% cash rental increase and five-year renewal term. In the Retail sector we executed leases for a total of 59,000 square feet with a rental rate increase of 10.7% on a cash basis and 28.3% on a GAAP basis. At Concord Center in Springfield, Virginia, we executed a lease of a 25,000 square foot tenant for a 10-year term with an 8.6% cash rental increase and a 35.6% GAAP rental increase on that transaction. In the Industrial sector we entered into leases for a total of 199,000 square feet with an average term of 4.2 years. At Dulles South we executed a 45,000 square foot lease with a major defense contractor increasing rental rates by 5.5% on a cash basis and 8.5% on a GAAP basis. We also executed a 33,000 square foot lease at 6100 Columbia Park in Landover, Maryland. Now as you may recall, we acquired this property at the end of February when it was 78% leased. It is now 100% leased. Leasing activity on apartment developments is on pace. Bennett Park, the 224 unit apartment complex consisting of high- and mid-rise buildings was completed in December. As of quarter end the property was 55% leased and the rents were on projection of $2.60 per square foot. Upon its completion in February of this year we began leasing units at Clayborne Apartments at Old Town Alexandria, Virginia. The property consists of 74 units with 2,700 square feet of retail space. It is an excellent location and it offers luxury amenities. Rents are averaging more than $3.00 per square foot and the property was 36% leased at quarter end. The office market in the Dulles Corridor has been soft but several large users have been touring projects in the market with serious intentions for relocation. In fact, earlier this week a 200,000 square foot lease transaction was announced in the market place. The superior quality, the superior location and quality of WRIT’s 180,000 class-A Dulles Station project is being viewed very favorably by several tenant prospects. As you may recall, NAIOP awarded this building the best suburban mid-rise office building in Northern Virginia. We are cautious optimistic of leasing a sizeable portion of the building in the near term. Acquisition and disposition activity was strong this quarter. In May WRIT acquired Sterling Office Building, a 36,000 square foot medical office located in Sterling, Virginia, for $6.5 million. Demand for medical office space in the area is driven by its proximity to Inova lab and hospital and Reston Hospital Center. WRIT expects to achieve first year unleveraged yield of 7.6% on a cash basis and 7.9% on a GAAP basis. In June WRIT entered into a purchase agreement to acquire 2445 M Street, a 290,000 square foot office building located in Washington, D.C., for approximately $182 million. The property is 100% leased and strategically positioned between Georgetown and the Central Business District in the West End Market of Washington, D.C. WRIT anticipates the closing of the acquisition will take place no later than the fourth quarter of 2008. In June WRIT completed the sale of Sullyfield Commerce Center and The Earhart Building totaling 336,000 square feet, for $41.1 million. The industrial/flex priority properties located in Chantilly, Virginia, were acquired in 2001 and 1996 respectively. WRIT achieved a net book gain of $15.3 million on the sale of the properties and a combined 13% unleveraged internal rate of return during the ownership periods. Proceeds from this sale will be reinvested in a 1031 transaction. Now, as we indicated in previous quarters, we continue to pursue opportunities to change use or increase density where local governments are considering revisions to their county growth plans. Our submissions for projects in close proximity to Fort Belvoir for the Department of Defense BRAC relocations are being favorably received by the local planning groups. Additionally, our two projects within close proximity to Metro sites are also being favorably received. We anticipate the formal reviews will be completed by year end with governmental action soon thereafter. And now with that I would like to turn this over and open the call for questions.
Operator: (Operator Instructions) Your first question comes from Dave Rodgers with RBC Capital Markets.
David Rodgers – RBC Capital Markets: On the Residential that you discussed earlier, how much of the stabilization, how does that get pushed out? I think its completion is going to slow in the second half of the year. Are we talking a quarter or is just a couple of weeks? Can you give us a little color on that?
Skip McKenzie: You know, as we mentioned maybe in the last call, at the Clayborne, leasing started two months late. We really didn’t start the leasing project process until February so that process is probably, the velocity is probably on track but I would say you could maybe expect us to be two months behind on reaching our final goal at 95%. Approximately. It’s tough for me to give you a bullet answer on both projects together because it’s uncertain how the fourth quarter leasing velocity is going to occur. I think my comment was more focused on the fact that we know historically in the fourth quarter, there’s a seasonality to leasing in the residential world and that, in combination with the fact that as these projects get to that 85% and 80% leased situation, there are going to be less options for tenants. So just the natural course of the leasing curve will decline, probably substantially at the end. So I think this will stretch out a couple of extra months, I guess would be the short answer to that.
David Rodgers – RBC Capital Markets: I guess with respect to the 2000 M move-out that you mentioned, the 20,000 square feet, should we expect a substantially higher TI on the replacement of that tenant, given the nature of the building?
Skip McKenzie: Substantially higher than what?
David Rodgers – RBC Capital Markets: The current quarter I think you were close to $26 for the MOBs. You’ve been running lower than that. Should we expect something up in that range, or higher?
Skip McKenzie: 2000 M is not an MOB, that’s a regular office building. It’s a downtown office building so it is going to require TI in general than our standard office projects. So you’ve got to figure that one is in excess of $20 TI. Now, of course, I don’t know exactly. We don’t have a specific tenant in hand for it. We do have good activity for that space. I would expect that TIs for that space will be in excess of $25.
David Rodgers – RBC Capital Markets: Could you talk about the magnitude of declines that you expect in occupancy, both in the Industrial and the Retail portfolios you mentioned?
Skip McKenzie: We’re not projecting huge numbers, we’re just thinking, based on the chatter we’re hearing from our tenants and some of the difficulties the smaller retailers are having, that we’re maybe going to lose 100-150 basis points in those. That’s a gut feeling, we don’t have a mathematical that we know because of a specific tenant’s leaving, we are basing that on market conditions more than anything.
Sara Grootwassink: And we do expect that some of that will be offset by our ability to continue to raise rents upon new leases and renewals. So our leasing statistics this quarter were pretty strong.
Skip McKenzie: I think we might have even discussed this at the last call. I just think that retail occupancies in particular are going, occupancies will be going down, vacancies will be going up somewhat. But if you look at the rents that we have in place and are rolling, we’re expecting, and have experienced, some pretty dramatic rent roll-ups, particularly in the retail sector. I think there’s going to be a lesser degree of roll-ups on the Industrial side but, I’m just looking at our expiring leases over the balance of the year, we’re expecting decent rent roll-ups in Industrial as well, although not to the degree of retail. So the bottom line is we think that there will be some modest vacancy increase in those sectors but it will be more than offset by rent roll-ups that will occur for the tenants that we renew.
Operator: Your next question comes from Michael Knott with Green Street Advisors.
Michael Knott – Green Street Advisors: Skip or Mike, can you just give a little more detail or color on the three major office regions in your area and also discuss Sperber, Maryland? What we’ve read and heard there is that demand has weakened quite a bit there. Can you talk about that and how that pertains to your portfolio?
Skip McKenzie: Just general market conditions, Michael?
Michael Knott – Green Street Advisors: Yes.
Skip McKenzie: District of Columbia is still a strong market. There is some concern in some of the more development-exposed areas, particularly down by the baseball stadium and the Navy Yard, for one. And over by the area that is called NOMA, or north of Massachusetts Avenue. Those two areas in particular have had a lot of development occur. We don’t have any projects in those areas. There’s also some new development on the east end where there is some vacancy. But other than that, and our projects are not necessarily competitive with those, we’re still seeing some pretty good demand in Washington, D.C., and the overall vacancies are still in the single digit, significantly below 10%. So the District is still a very strong market. In Northern Virginia, we’ve talked on many of these calls, of the Dulles Corridor. That uniquely is the softest market in our region. Other than Dulles the Virginia market is, I would put it, healthy but not robust. There’s not a lot of leasing activity. In fact, I just added to our envelope on Northern Virginia and Maryland, leasing activity is down fairly significantly over, let’s say, a year ago. However, the overall vacancies, again, with the exception of the Dulles Corridor, are fairly, I won’t say healthy but they’re okay. They’re in that 10% to 11% range, depending on what submarket you’re in.
Michael Knott – Green Street Advisors: Sara, do you happen to have the occupancy figures for your Office portfolio between the three regions?
Skip McKenzie: By state sector?
Sara Grootwassink: I don’t have that available.
Mike Paukstitus: We can get that. I don’t have it with me today.
Skip McKenzie: We don’t have it by state. But it ought to be pretty good. I mean, our office vacancy right now is only about 5% overall.
Mike Paukstitus: I think the general statement is against all the submarkets, we fare very well against the reported vacancy in those markets.
Michael Knott – Green Street Advisors: And did Time Warner look at your building in Dulles before they signed with Brandywine?
Skip McKenzie: No. They didn’t look at our building because it was too big.
Sara Grootwassink: The lease requirement was too big for our building.
Skip McKenzie: It was a 200,000-square-foot requirement.
Michael Knott – Green Street Advisors: Can you provide any more color on your expectation for signing a lease in the near term?
Skip McKenzie: We feel as optimistic today as we ever have.
Michael Knott – Green Street Advisors: And would that be for maybe a quarter of the building, half the building? Any magnitude there would be helpful.
Skip McKenzie: We have several prospects, more than one, for space in the building. So it would be a significant portion of the building. Very significant.
Michael Knott – Green Street Advisors: Any comments on Sunrise? I believe they’re having some issues.
Skip McKenzie: Mike has had lunch with them recently. We stay close to the, they pay their rent on time. They’ve actually been a great tenant as far as we’re concerned. We watch their filings in the press as much as everybody else. We don’t have any new amplifying information other than what’s reported in the public arena. They’re a fantastic tenant as far as we’re concerned. They pay their rent on time, they’ve expanded over the years, and they’re about as admirable a tenant as you could have, on our level. But other than that, we know about as much from their public funds as you do. We don’t get any inside information or anything.
Operator: Your next question comes from Chris Lucas with Robert W. Baird.
Chris Lucas – Robert W. Baird & Co.: Skip, can you give us an update on the search process for Sara’s replacement?
Skip McKenzie: We’re active in the process. We’ve hired an executive search firm; we’ve interviewed a number of people. We’ve got a couple more we’re going through that are to be brought into the office. We’ve got what we believe to be fantastic candidates and we’re still on track to have somebody identified by September, and brought on board before the end of the year.
Chris Lucas – Robert W. Baird & Co.: Sara, can you walk through some of the sequential variances of some of the larger items from first quarter to second quarter that occurred?
Sara Grootwassink: We talked a little bit about revenue being down a little bit. There was an increase in vacancy in the Office sector, as well as we did not have percentage rent that we received in the first quarter come in the second quarter. So right there is about $700,000 difference in revenue. We also had the details of Sullyfield and Earhart and that caused revenues to decrease about $210,000. So at that point there is about $0.02. In addition to that, we had changes in the interest expense that were more sensitive than were more extensive than we may have modeled. We obviously turned out a portion of our buying. We turned out $81.0 million, with a slightly higher interest rate, because we felt it was appropriate to go out long term and we executed three mortgages for a total of $81.0 million at 5.7%, and that was, of course, significantly higher than our line borrowing cost. In addition to that, we issued equity in May and that was really earlier than we had planned to issue in the year and so we had some longer traunches on our lines of credit. And we actually had some breakage fees we needed to pay. So interest expense was inflated a little bit from those numbers.
Chris Lucas – Robert W. Baird & Co.: Are there any one-time items this quarter, either revenue or expense-related, that we should be taking into account for future earnings?
Skip McKenzie: Lease termination fees or things like that?
Sara Grootwassink: Actually, lease termination fees were pretty consistent with the first quarter. In the first quarter we had lease termination fees of $334,000 and the second quarter they were $385,000. Those were pretty consistent. I think it’s mostly the three revenue items we talked about, a little bit more vacancy in Office, the lack of percentage rents, and the sale of Sullyfield and Earhart on the revenue side. And then on the spend side it was really those changes in interest expense.
Chris Lucas – Robert W. Baird & Co.: And then on some of the space that’s opened up, you have ECG, and then 2000 M Street, what mark-to-market do you roughly expect at some of those vacancies relative to where they were before?
Mike Paukstitus: I don’t have a percentage standpoint, but clearly those are lower than market. We are expecting those to be moving up. The 2000 M has some opportunities actually, for attracting some smaller tenants that we can move right on in. Similar to the One Central transaction. That was a 60,000 footer that had an opportunistic rate in there. We’ll be planning smaller tenants into those spaces. By the way, that market is very vibrant right now, notwithstanding some of the things that are going on in Maryland, with a major regional mall across the street and a tremendous amount of retail activity around that building.
Skip McKenzie: Chris, I think that space at 2000 M Street was somewhere around $35 or $36, if I’m not mistaken, when it expired and we’re looking above $40 to release it.
Chris Lucas – Robert W. Baird & Co.: And just on the TI trends. The MOB TI grew up significantly over previous quarters. Is there something specific going on there or is that a trend we should be watching? Was it lease specific?
Skip McKenzie: There was one tenant that threw that off. It wasn’t one single tenant.
Mike Paukstitus: But we did move a large tenant over to another building.
Skip McKenzie: That’s true. 8503 Prosperity, which is our highest end project, so to speak. You know, that’s the property where we’ve got $40-something rents in it. We did have one; I think it was a 20,000 square foot tenant that rolled in that property that had a pretty good pop in TIs.
Laura Franklin: At Woodburn, too. We also had . . .
Skip McKenzie: Woodburn. Nuclear.
Laura Franklin: Woodburn and Virginia [inaudible]
Skip McKenzie: There were two that were moderately high, let’s just put it that way.
Chris Lucas – Robert W. Baird & Co.: What were the lease terms on those deals?
Skip McKenzie: For Woodburn Nuclear Medicine, for example, and that’s at our Woodburn II project, the new face rates were $36 and $38. And they were paying, with tenant improvement costs and leasing commissions, of around $30.
Chris Lucas – Robert W. Baird & Co.: And the lease length was how long on that deal?
Skip McKenzie: I’ll have to do some averaging here. 120 and 111 months. About a 10-year. And then also at 8503 Arlington, which is Prosperity, that’s our nicest Medical office building, just to give you another handle on a specific comp. We did a five-year deal with a 24,000 square foot tenant. We had a $42 face rate and we gave TIs and leasing commissions, so this is full, of $27. So those were the two biggest contributors to the highest TIs.
Chris Lucas – Robert W. Baird & Co.: And just taking a step back, going out to the corridor, the Dulles corridor a little bit, how would you characterize the lease characteristics you’re seeing today versus a year ago in terms of face rents, free rents, CI packages, things along those lines. How have they changed?
Skip McKenzie: First you have to caveat the whole thing with, either last year or this year, it’s been a very small data set we’re comparing. You’re comparing two deals last year versus two deals this year type thing. So it’s not a great sample set that we’re operating off of. Without a doubt the TIs have gone up fairly significantly. Now, even last year the TIs were going up. So if you’re limiting me to a year, I don’t know if it’s as dramatic as maybe over two years. But I would say everybody out in the corridor is offering a much higher tenant improvement package than anybody in pro forma, let’s put it that way. So people are probably anywhere from $60 to $80, in that range, tenant improvement on 10-year lease. So that’s probably the most dramatic change, on a percentage basis. And again, we’re talking about new buildings here. And then from a rent perspective where that and I don’t know if it was a great market comp because it was such a huge number, that Volkswagen deal was like a $37 rent. That was really an outlier; everybody was really pro forma in the $34 to $35 range a year ago. That’s where I think maybe normal fills would have been done. Today you’re several dollars less than that. You’re probably $2 to $3 less than that in that neighborhood.
Operator: Your next question comes from Erin Aslakson with Stifel Nicolaus.
Erin Aslakson – Stifel Nicolaus: What is Washington’s investment strategy for the remainder for 2008 and 2009 in terms of acquisitions and dispositions? You mentioned the 1031 possibility.
Skip McKenzie: For that specifically, that 1031 is earmarked for the 2445 M Street property. That’s spoken for. Actually, you would actually have to come up with a little bit of cash for that as well. Sort of the 30,000 feet from above to answer your initial question is as I mentioned in my comments, we feel like we’re just beginning to come to that point in the cycle where we’re seeing some of these opportunities that we hadn’t seen for a bunch of years, to be honest with you. And what we’re hopeful to do, particularly for the balance of the year, is potentially, I mean I can’t promise you anything because we don’t have anything firm, but fill in some of those property types that we have had a difficult time acquiring. I think 2445 M Street is a good example of that. It’s a great downtown office building and I’m hopeful that we might be able to fill in some of the cracks with potential of residential or even potentially a retail property. But we’ve got a bunch of irons in the fire and nothing is firm other than 2445 M Street right now.
Erin Aslakson – Stifel Nicolaus: Have you mentioned the cash exempt field expense on that?
Skip McKenzie: I would prefer not to right now. We haven’t closed on the transaction; it hasn’t been our practice to report on those things. But I would say we were very pleased with this, particularly as it related to what people have quoted on similar transactions. But I would rather not comment on that until we actually close on it.
Erin Aslakson – Stifel Nicolaus: How about Dulles Phase I. That’s moving from capitalization to expensing, I believe in the third quarter, is that correct?
Sara Grootwassink: That’s correct. In early August.
Erin Aslakson – Stifel Nicolaus: About how much do you think that’s going to increase expenses?
Laura Franklin: It’s going to be about $650,000. For the remainder of the year.
Erin Aslakson – Stifel Nicolaus: For half a year, or six months?
Laura Franklin: I would say about five and a half.
Operator: Your next question comes from Bill Crow with Raymond James.
Bill Crow – Raymond James: You talked about some of the opportunities to maybe take advantage of acquisitions. How about distressed developments that are out there where financing may have pulled away? Are there some opportunities for you in that area?
Skip McKenzie: We are looking at a few things. I always caution everybody not to use the word distress in our market, only because we’re not at the part of the cycle, at least here, it’s just Washington, D.C., you don’t see a whole lot of I would put in the firm term of distress. There are certainly some seller that have the imperative to sell that would rather not sell, but usually there is a fairly liquid market. We haven’t seen the full outs of stress yet. But there is definitely opportunities starting to emerge of people that need to sell properties sooner as opposed to later. And we are looking at a couple of those opportunities, but we have not seen a wholesale foreclosure situation yet where we are standing on courtroom steps trying to pick up properties for $50 a foot, as we did in the late 80s and early 90s time frame.
Bill Crow – Raymond James: I guess I was looking more at the development stage where somebody may have a piece that all of a sudden they can’t get financing and need to flip it.
Skip McKenzie: There are some opportunities out there we’re looking at that sort of fit that category. There’s not a tremendous amount right now, but I think the correct terminology to use is we’re just beginning to start seeing some of those.
Bill Crow – Raymond James: I think the last time we talked we discussed some of the art stone assets and a lot of those assets are starting to come back on market. Any update on that and your opportunity there maybe?
Skip McKenzie: We are very interested in some of those assets. I’ll leave it at that. Some of them are more problematic than others because in the District there’s the tenants’ rights law and some of these properties have to go through that process. And that complicates some of the ones we were interested in. But we are tracking that process fairly closely.
Operator: Your next question comes from Alan Kozerog with European Investors, Inc.
Alan Kozerog – European Investors, Inc.: First, the CIP spends at quarter end, is that all Dulles Phase I?
Sara Grootwassink: It’s Dulles Phase I. It’s the land and parking garage for Dulles Phase II and then very nominal amounts that we’ve spent for our new developments, such as 4661 Kenmore, which is in the very initial stages.
Alan Kozerog – European Investors, Inc.: So the $68 million balance how much of that is Dulles Phase I?
Sara Grootwassink: About $40 million to $43 million.
Alan Kozerog – European Investors, Inc.: What capacity do you think you have to do other external opportunistic acquisitions, given the fact you have the 2445 M in the fourth quarter?
Skip McKenzie: We have a lot of capacity right now. We’ve pretty much cleaned our credit line.
Sara Grootwassink: With issuing equity last quarter, plus the sale of the two buildings, we have a large amount of capacity at this point.
Skip McKenzie: In terms of funding the 2445 M, it’s $180 million but it has $101 million debt in place. We’ve got the $41 million from the sale in escrow in a 1031 so we really only need to come up with another $30 million to $40 million for that to finalize that sale. So we’ve got a fairly substantial balance on our credit line available.
Alan Kozerog – European Investors, Inc.: Is the full capacity on your credit line about $337 million?
Sara Grootwassink: Yes.
Operator: Your next question comes from Wilkes Graham with FBR.
Wilkes Graham – FBR Capital Markets: It looks like the development page was taken out of the supplemental. Can you talk about, or break out, the construction of progress in land line. How much of that on the balance sheet is land and how much is construction in progress with Dulles, and then other?
Sara Grootwassink: We actually did post it, it was posted today. Construction in progress has Dulles Station Phase I and then Phase II of the garage. The Phase I of the garage is actually placed in service already, so that’s up in the operating properties. So Phase II of the garage is still in construction in progress plus the land for Phase II and then there’s other nominal amounts.
Wilkes Graham – FBR Capital Markets: So how much is the pure land that’s not tied to an asset that is under construction right now?
Skip McKenzie: It’s got to be around $60 million dollars, right?
Wilkes Graham – FBR Capital Markets: For the Phase II land.
Laura Franklin: Yes. And land is actually not in with construction in progress. So out of the $68 million you have about $45 million that relates to Phase I and then for Phase II we have about $7 million of the garage that’s been allocated to Phase II, and then we have about another $8 million in there related to Phase II and then, as Sara indicated, we have another, from our 4661 Kenmore acquisition, which is our unit deal, we have about $4.2 million in construction in progress for that deal.
Wilkes Graham – FBR Capital Markets: Sara, you mentioned that there was a pretty material difference between spreads on multi-family secured debt and corporate debt. Can you give a little more detail on that, on where it was in May, and then if you’ve seen secured debt spreads what changes you’ve seen in the spreads since then?
Sara Grootwassink: In our pricing we locked in a spread of 220 basis points over the comparable Treasury, which was at about 350. Our fixed rate on that loan was 5.71%. At the same time, spreads in the corporate area were at lease 300 basis points over the 10-year. And so it would have been near 7% in the corporate bond market. So there was a fairly big difference at that time. At this point, Treasuries have moved up pretty substantially above 4% and so spreads, I don’t think, on multi-family have moved substantially however, standing at close and what you see on the screen could be two different things, right now, because there’s a lot of turmoil there right now. But I would think that you’re at least going to be at 6.5% on a comparable term, right now, in multi-family. And then spreads are still quite wide in the corporate unsecured bond market. So it’s still cheaper in multi-family.
Operator: Your next question comes from Michael Knott with Green Street Advisors.
Michael Knott – Green Street Advisors: Just a follow-up on that question. Which properties were financed with mortgage sets this quarter, and what was the loan to value on those?
Sara Grootwassink: Well, they look at that coverage now more than loan to value. It was a 1.2x debt service coverage. It was Davinci Hill and Walker House.
Michael Knott – Green Street Advisors: And can you remind me, do any of your other multi-family properties have financing on them?
Sara Grootwassink: They do. The Virginia operating properties, not the two development properties, have mortgage debt on them and are due to expire next year. Maturity in 2009 is the mortgage debt on those five Virginia properties, but at this point we believe that it’s about a 25% loan to value so we’re not concerned about refinancing that. But we will have a lot of capacity when that matures. As well as, if it’s appropriate, we may look at placing secured debt on the two development properties. But you have to balance that with your bond covenants and lines of credit covenants.
Michael Knott – Green Street Advisors: How much capacity could you put cheap financing on your Multi-family portfolio to use up for investment capacity?
Sara Grootwassink: Our lines are more restrictive than our bonds but we are putting another $100 million in secured debt on with the acquisition of 2445 M and then you could probably put another couple of hundred million on. The reason we generally don’t initiate secured debt, except for now when the spreads are so incredibly different that it makes sense to do so, is that we want to allow ourselves room to continue to acquire assets that have secured debt. And so you don’t want to fully use that capacity because then that eliminates the possibilities to acquire assets that have secured debt. So you always want to leave a little bit of room for that.
Michael Knott – Green Street Advisors: And then just conceptually can you compare a little bit the 2445 property with maybe the Vornado property in Tysons that sold. I’m assuming that would be a property that you would look at. I’m just curious if you could compare the pricing dynamics of those two different markets.
Skip McKenzie: It’s apples and oranges comparing prices to any Tysons assets and DC assets. Our asset at 2445 M Street is a class-A asset that is comparable to, I don’t know, let’s say, is comparable to the two that sold for $800 a foot in downtown recently, but by every measure it is a class-A asset. It’s got triple net rents in place so you’re protected from expenses running away from you. It is every bit as desirable as the assets in the District. It is by no means comparable to anything in Tysons.
Mike Paukstitus: The credit quality of the downtown asset that we’re looking at is superior to that suburban asset.
Michael Knott – Green Street Advisors: What’s the cap rate on some of those?
Skip McKenzie: We haven’t advertised the cap rate yet. What did Vornado advertise as the cap rate? I don’t recall. Something like $300 some odd dollars a foot.
Michael Knott – Green Street Advisors: Some of the data sources say it’s below 6.
Mike Paukstitus: Sounds about right.
Michael Knott – Green Street Advisors: Is there any pre-leasing to speak of or any progress on the Lansdowne medical office building?
Skip McKenzie: We don’t have any commitments yet. We have good activity. It’s really, really hard to get pre-leasing in a MOB this far in advance because you’re usually talking to much smaller users. So we don’t have any but we have pretty good interest. On that property we actually hired a third-party broker to help us with the listing, a medical building specialist, who we’ve done a lot of business with. So we actually have a two-man team on that and we have good activity. But the short answer to your question is we don’t actually have a permanent lease yet. And as we mentioned, that building isn’t going to be ready until the first quarter of 2009.
Operator: There are not further questions at this time.
Skip McKenzie: Thank you everyone for taking time out on a Friday afternoon in the summer and hope you enjoy the rest of your summer and we will talk to you in the third quarter.